Salvador Villasenor Barragan: Good evening, everyone. I'm Salvador Villasenor, responsible for Investor Relations at Walmex, and I want to thank you for joining us in the live Q&A session following our second quarter results, which were published yesterday evening. Joining me today is Ignacio Caride, our President and CEO of Walmart de Mexico y Centroamerica; Raul Quintana, our Omnichannel COO; and Paulo Garcia, our CFO. As always, we will make every effort to answer as many questions as we can in the 45 minutes that we have scheduled for this call. We kindly ask you to limit yourself to one. Now I will pass over to Ignacio for his initial remarks before moving on to the first question. Please, Ignacio.
Ignacio Caride: Thank you, Salvador, and good evening, everyone. Let me start by highlighting our growth of 8.3%. This is a 6% in constant currency, in line with our guidance ahead of the market in both regions. We are building this business for the future and with our commitment of doubling the business faster than we did before. Whenever we see the opportunity to expand price gap to help our customers save money and live better, especially in challenging times, as well as the opportunity to accelerate market share gains, we will do it. What gives me confidence is the progress of our strategy. Some of the proof points include market share gains, increasing price gap, private brands expansion, acceleration of e-commerce and consolidation of our new businesses. We are focused on what we can control, and our priority is growth and share gains, protecting margins through business mix, evolution and discipline. Now we are open to answer your questions.
Operator: [Operator Instructions] The first question is from Mr. Alejandro Fuchs from Itaú BBA.
Alejandro Fuchs: I have one very brief one regarding competitive landscape in Mexico. You've been mentioning a lot that this quarter, you're investing even more, right, into the business. So I wanted to know a little bit of which of the formats, maybe Raul, you can tell us which of the formats are you seeing maybe more competitive dynamics? And what are your expectations for the remainder of the year a little bit into, let's say, the competitive landscape in the country?
Raúl Quintana: Sure. Alejandro, thank you for the question. We've done the price investments in all the formats. We see good elasticity when we invest in price in Bodega Aurrera, where we see a good reaction from our consumers when we invest in price and affordability, and we see that consumers react well to price and affordability in Bodega Aurrera Express. We've also done price investments as well in Supercenters and in Walmart Express, and we've done price investments in Sam's Club as well. Our members in Sam's Club as well, depending on the business member or the individual member react well as well on elasticity and price investments. And that creates -- for Sam's Club, it creates good affiliation retention rates. And in the case of Walmart Express and Walmart Supercenters, we've done some investments in food categories, health and wellness and as well in some fresh categories where we've seen good reaction from our customers when we do the investments in those categories for those formats. But it's mainly across all the banners and primarily in basic items where we do the majority of the price investments.
Alejandro Fuchs: That was very clear. Can I do just very quickly, a second one to Paulo, just very quickly, sorry to take much time. But working capital, Paulo, we saw some days of accounts payables going down this quarter. I wanted to see if you can explain to us a little bit of what's driving this and if you expect this to continue to go forward. That will be the last one, sorry.
Paulo Garcia: Yes. Thanks for the question, Alejandro. So the days payable, we are not paying differently to our suppliers than we used to pay. So I think what you see there is a little bit of an impact of lower purchases, which tends to impact our payables. That's a little bit momentarily. You know that we have been addressing also the inventory. There's a little bit of mix of there's a small impact of that effect and then -- and always the supply chain financing programs that we have in place. But that's the smaller part of the explanation. This is something that we'll tend to adjust throughout the second half of the year. I also allude to the fact that if you look back to some of our previous quarters and previous years, our DPO has actually increased. But you should see stability and it should -- and I want you reassuring that we're not paying and doing any differently with our suppliers that, that should stabilize going forward.
Operator: Our next question is from Mr. Ben Theurer from Barclays.
Rahi Parikh: This is Rahi on for Ben today. I guess just on the price increases, do we see this fully represented in 2Q? Or will we see margin contraction also in 3Q from price increases? I know you said the noncore parts of the business offset some of the investment, but just going forward for the year, how do you see that? And a follow-up, if possible.
Paulo Garcia: Yes. I think the price investments, as Ignacio said on the setting of the scene as long as sometimes if we see the opportunity to invest and expand our price cap, help our customers when they need the most, particularly in these challenging times, whilst accelerating share gains as we've done it, we will do it. At the same time, I want to give you a reassuring of the fact that you're actually reaffirming the guidance that we've done in terms of our gross margins. We've said that we expected a gross margin expansion for the year. You should expect that from us. We also said when we set the guidance in terms of gross margin expansion that you could see variations by quarter. So I think that's what you are seeing. So yes, you can see more investments in the future. So we feel that's appropriate. We have a growth strategy and help our customers. And two, I want to reassure you on the gross margin expansion for the full year.
Rahi Parikh: Okay. That makes sense. And just a minor follow-up on just remittances. Do you -- what are your internal forecast for how you see remittance growth? I know there was a drop, low single digits for the first 5 months of the year. I don't know if you have internal forecast or maybe quantify how impactful that's been to sentiment?
Ignacio Caride: I think forecast is a bit difficult to predict. I think what I will say it's relevant because not only everyone looks at that, it's important to look that whilst there have been a reduction in U.S. dollars, so far, actually in pesos, they have been growing above last year. And actually, that's what comes from Mexico. That's what people get in their pockets is the pesos, and we don't know exactly what will happen for the second half of the year. But also bear in mind that the people that do send the remittances, they always think in pesos. So sometimes they send less dollars, sometimes they have to send more dollars. So far, it has not been a negative. On the contrary, it has been a tailwind because people are getting more pesos than they got last year. We'll have to see other things unveil in the future.
Operator: Our next question is from Ulises Argote from Santander.
Ulises Argote Bolio: I had a quick one here maybe for Paulo. Can you provide an update on the buybacks and the strategy and how you're thinking around deploying the funds at current levels, particularly after today's share price performance?
Paulo Garcia: Thanks, Ulises, for the question. So you know we announced a share buyback of MXN 8.8 billion for the year. We talked about our intention to do it in the year, always subject, of course, to the share price and our capital allocation needs. I think what I can reinforce to you is we keep that intention. It's our intention to complete in full our share buyback, and we'll see the opportunities to accelerate the share buybacks in the upcoming period in terms of the execution of what's remaining.
Operator: Our next question is from Ms. Irma Sgarz from Goldman Sachs.
Irma Sgarz: I just wanted to follow up on the expenses. I think you were very clear in your remarks that you stick to your guidance of a high single-digit increase in operating expenses. Now I think you were running -- if I look at the first half, you're running a little bit ahead of that. So I was just curious to hear a little bit about -- help us understand with store openings actually accelerating into the back half of the year and still, I guess, Ignacio, you mentioned that the joining of the hallways is now expected for October. I would expect some of the expenses that sort of we've seen continue. So just help us understand, was there something that was a little bit more front- loaded? Or do you have certain expense control measures into place for the second half that sort of shore up that confidence? That would be helpful.
Paulo Garcia: Yes. Thanks, Irma. Thanks for your question. Let me take 3 things first on expense and then reassuring on a couple of things. So I want to talk about the guidance. I want to talk about the P&L reshape and what is driving the increase, and then I will reassure on a couple of things. First of all, just some clarification on the guidance that we've given to both on growth -- both on gross margin in this case, in SG&A is in constant terms. So we've said that. So we expect high single-digit growth in constant terms. Second one, I think it's important to reiterate that we expect -- we've talked about that in the past in the P&L reshape in terms of when you look to our P&L of Walmex. That's well as we've been always talking about the gross margin expansion, the additional contribution of the new business for that gross margin and expansion at the same time that we invest in the business to grow and doubling the business faster than before, just to reiterate that message as well. In terms of what drives the increases that we've seen in the quarter 2, as we alluded to webcast, they are both related with the investments along the lines that we have always been doing, the new stores, the remodels, indeed tech and e-commerce as well as the labor costs. I think what I want to reassure you all for the future as we look to the second half is a threefold. One is around the benefits. So how are we going to see the benefits. The benefits of these investments will continue to translate to higher growth and higher -- and accelerated share gains. That's one. And the second one is that we are committed with the controls that we're putting in place, prioritizing investments with higher returns and dropping the ones that don't have so much lower returns. And in terms of with our philosophy to continue to scrutinizing all the discretionary costs, we are committed to bring SG&A rate of growth closer to our revenue growth. And lastly, I want with this, with the quarter 1 and quarter 2, confirm our SG&A guidance for the full year and reaffirm our high single-digit growth rate for SG&A in constant terms. So you can expect that from us.
Operator: Our next question is from Mr. Andrew Ruben from Morgan Stanley.
Ignacio Caride: You're on mute, Andrew. No, we can't hear you. Do you want to write your question in the chat to Andrew, we pick someone else and then we ask -- we answer your question?
Operator: Very well. We will move on to the next question and come back to his. Our next question is from Froylan Mendez from JPMorgan.
Fernando Froylan Mendez Solther: So Paulo, you described half of the SG&A pressure coming from running the business and the other half on growing the business. I understand that most of the running the business component is related to labor. What are your expectations into the second half on labor pressure? Is there something different that you're doing to keep more in control this part of the equation? And could you dig into what specific investments are the ones on the growth part of the equation, please?
Paulo Garcia: Sure. Let me try to expand on that, Froylan. So on the growth investments, as I was alluding to, are the typical investments that we're doing. You know that we are expanding the number of store openings. We're also expanding the remodeling we're doing in our stores. You know that we did a lot of openings in the past, Froylan, in the 2012, '13, '14. So you get a lot of stores that get into the new cycle, and it's important to have the stores that describe to the ones that are appreciated by our customers. Tech and e-commerce is a recurrent investment that we make. We believe this is actually will set us for a stronger foundation for actually to accelerate our growth and in particular, in e-commerce. So these are some of the growth investments we are doing. In terms of the labor costs, so what we're doing is actually continue to look in for efficiency on a daily basis in terms of some of the process, some of the redesigning. Of course, we are already pushing a lot of automation in the organization. Some of these will yield benefits a bit longer in the horizon next year, second half of the year, it's much more some of the short-term initiatives that we are taking. We alluded to the fact that we are now starting with improving probing with the palettes in the stores with ESL. We are doing electronic shelf labeling, I should say, smart receiving. So a lot of doing and redesigning the process to drive initiatives in terms of -- that help us offsetting some of these labor costs, not only now, but also in the future when the labor reforms will come along, and we need to be prepared for that. And of course, our growth strategy being on the front foot, being pushing for sales growth ahead of the market, having the contribution of the new business to increase the traffic, the frequency, help us to grow faster, doubling this business, which will help us with the leverage as well, Froylan. So it's a combination of both.
Operator: Our next question, we're going back with Mr. Andrew Ruben from Morgan Stanley.
Ignacio Caride: So let's just put the next one, and Andrew should write by chat and we answer the question.
Operator: Excellent. Our next question is from Mr. Antonio Hernandez from Actinver.
Antonio Hernandez Velez Leija: Just a quick one regarding the different formats, how are they performing in terms of ticket and traffic? Were there any specific or particular outliers versus the consolidated reported figures?
Ignacio Caride: Yes. So in the case -- so traffic was impacted heavily in the quarter because of mainly weather activity. So weather activity impacted the food and beverage and isotonics and categories and also ice cream categories. So when I take that performance out in relative impact, we would have been flat in self-service and traffic. Bodega Aurrera over-indexes in share of market in those categories based on the participation of sales that they have, as well as Sam's Club, as well some impacts in that. From a traffic perspective, in Sam's Club, we see good performance on the individual member, and we see some tightness in the business member from a traffic performance. And then Supercenters, we see relative performance similar to what Bodega is having and Walmart Express, slightly ahead on the central area and slightly below in other parts of the country.
Raúl Quintana: It's important to note that at least in the metro area, we experienced the most rainy June in several decades, and that had a big impact on certain categories.
Operator: Our next question is from Mr. Alvaro Garcia from BTG.
Álvaro García: Can you hear me?
Ignacio Caride: Yes. Perfect.
Álvaro García: Great. Two questions that are kind of related. One, your ticket was up 6%, but you mentioned this average -- this price investment. So I'm guessing most of that has to do with mix, and we saw Walmart Supercenter also did a lot better and general merchandise did a lot better this quarter. So I was hoping, Raul, maybe you could give some color on what was behind that? We saw a very strong May and department stores. I think we saw a lot of favorable feedback on electronic sales being back up. So any sort of color with regards to that dynamic would be very helpful.
Raúl Quintana: Yes, Alvaro, thank you for the question. I think what we've seen is that when we have good value and good value proposition for our customers, the demand is there. So -- and we had a good Hot Sale event. And as you know, based on the customer value proposition for Supercenters, it kind of plays into the customer value proposition for Supercenters a little bit more and to Sam's Club than it does in Bodega, which is more food participation based. So what we've seen is we see good performance, which was better than the performance that we saw in quarter 1, where we saw a weak, durable environment on consumer spending in those categories. So we see a positive impact in quarter 2 and Hot Sale, and we see good momentum going into the back half of the year because we feel confident that we will have similar value propositions for the Fin Irresistible, well that will play into our strengths. So I think when we have good value proposition, Alvaro, we see the demand is there, and we are able to gain shares within that demand.
Paulo Garcia: Maybe just one build that gives a little bit more color to with number to what Raul just said. We typically do studies ahead of the big events and hot sell and we ask people in terms of their intention of purchase. Actually, when we did that, and it's in general, not with Walmart, the number was 45%. The real number because then we do with the same sort of samples after the event was actually 62%, and that compares with 52% last year. So it gets a little bit to the point of Raul, when actually people start seeing a little bit the value and the relevance, there is the demand for that, which gives a little bit -- gives us the reassurance, a bit more confidence as we enter the H2 and the big seasons.
Álvaro García: And it's fair to assume that, that 6% average ticket increase at the consolidated level is mainly due to mix, I'd imagine, because of how well durables did?
Paulo Garcia: There was a price, as you've seen in the component, the pricing impact, and there is a mix impact to that as well with durables. It's a combination of both.
Ignacio Caride: And the customers that did come into the traffic of the store are buying more items into the basket as well.
Operator: Our next question is from Mr. Bob Ford from Bank of America.
Robert Erick Ford Aguilar: Paulo, in your recorded comments, you touched on Bait active users. And I was just curious if you could just address the discrepancy with the IFT numbers because historically, their time series and your numbers correlated very well. Then they print 8.4 million against a 19.8 million user base. And I was curious, I know they use last 90 days, you're using last 180 days to constitute an active. But is there an error in the IFT data? Or is there something else that's going on and the difference in that estimate of active users?
Paulo Garcia: Yes. Thanks, Bob, for the question because there have been a lot of questions already on that one. I want to reinforce the point and what I've said in the webcast because I think that's the most important thing to say. First of all, Bob, our methodology has been consistent throughout, no change. As we have always disclosed in the earnings releases and you see there in the earnings releases, the Bait active users, I refer to users that actually have 180 days. They include data, they include voice, and they include SMS and they include the sales including to our distributors. So of course, if you take a different selection, you start looking at 90 days, only voice or only data or start excluding some of these elements, the number will be different. But our methodology has been consistent, is audited by a Big 4 company and is audited each quarter, audited and reported each quarter. I'm not sure if it happens with the other players. So that's the simple explanation, Bob.
Ignacio Caride: And let me build on that because, again, generate a lot of noise, especially in the media. For us, the important part of Bait is how they add value to the core and how we give access to Internet and to connectivity at the lowest possible price. I'm not so interested in the final number. Of course, we want to grow and we want to have the biggest amount of customers joining Bait. But the value we are seeking here is how this adds to the core and generates traffic to the stores. So I would say we -- I am very happy with Bait results, very, very happy and how they are adding value to the core and how we are giving access to the digital economy to more than 20 million customers.
Paulo Garcia: And tomorrow, in the press, we'll provide a few additional clarifications on the -- what I've just said. But ultimately, methodology completely consistent, and we're happy with the progress of Bait.
Operator: Our next question is from Ms. Renata Cabral from Citi.
Renata Fonseca Cabral Sturani: Can you give us some color on how is the One Hallway initiative progressing towards its October launch? And I'd like to know if you are on track, what are the biggest operational or tech milestone hit so far? And it would also be great to understand the current top initiatives integrating AI into e-commerce and omnichannel operations? And where do you see the biggest incremental gains?
Ignacio Caride: Yes. Renata, thank you for your question. So regarding One Hallway, things keep on track, how we were expecting. Actually, I'm very happy to be one of the users already testing the friends and family. We will start launching as for a couple of weeks already to a small amount of customers and scaling up from there. So the October date is more on when we finish the rollout. This is a big rollout for us. So we have to be very careful and test everything along the way, but we will expect about 1% of our customers to have access to the new experience in the next couple of weeks. It's important to note that One Hallway is not just a change in the app where we eliminate the hallways. It's a big change in the back end on how we process and how we work and define a lot of the operational process. So it's a big thing for us, and we are putting all the effort there. Having said that, we keep on track, but we are going to be very conscious and very secure on the steps we go and make sure that nothing -- that we only get the benefit and we don't have problems along the way. Secondly, around AI, we are doing several things, several initiatives across the company. One of my beliefs is that retail and the type of our company, we are going to get the biggest opportunity on leapfrogging technology and using AI to become much more efficient and much more -- with a bigger productivity given the way we operate now and the value that AI adds. We are already using new tools, AI developed at store level. We are helping store managers do their work more efficiently to help them decide where to focus on the day-to-day operations. e-commerce on how we create PDPs or the product page, all the information that we put there. There's a lot of productivity on things that people used to do manually or with older systems that are being replaced by automation and AI tools. Another area where we are doing big test is customer service. Customer service is a big team for us, and there's -- and with the increase of volume, AI is helping us to solve customers' inquiries faster and without the intervention of -- without human intervention. This is just some of the examples. But look, this is something I'm very passionate about. So I dedicate a lot of time on how the teams are using new technologies to do things in a more efficient way. And finally, I would say one of the things that is happening to our industry is the labor reform that will require us to reduce 48 to 40 hours in the next 5 years. It's very important for us to rethink how we operate our company, not only at store level, but at the office and everywhere with us. So we are using technology to start solving most of those problems to help us be much more productive and allow us to reduce the amount of hours of -- with the labor reforms without impacting the business.
Raúl Quintana: Renata, if you want, I can zoom in on an example that Ignacio was talking about from an operations perspective. One that I just toured yesterday, we're doing modular review. modular is the planograms that we have for the customers. We're doing picture visual recognition with AI technology so that we can see at store level, how the modular is being set and how it's being maintained, and that's going to help us from an availability perspective in operations to better serve our customers and to better serve on-demand fulfilling orders.
Ignacio Caride: The work in modular in the past used to take weeks. Now we can do it in a matter of hours.
Operator: Our next question is from Mr. Andrew Ruben from Morgan Stanley.
Andrew R. Ruben: I'd like to ask around Cashi. We saw the negative volume trend, and there wasn't any mention in the prepared remarks. Now I know the broader open loop launch was planned perhaps for later this year. So maybe it's a question of transition, but we have seen that sharp deceleration in recent quarters. So just the update around current trends and the future expectations for Cashi would be quite helpful.
Ignacio Caride: Thank you, Andrew. Nice that you go -- you had the chance to make your question. So I would say the impact on the second quarter was mainly how we addressed the Hot Sale event. Last year, most of our promotions or cash backs to customers went through Cashi, and that generated a lot of volume. This year, we took a significantly different approach on how we address our commercial strategy with Hot Sale, and what we did is we did all the investment in direct price. So our prices were from start, the cheapest prices on the market without the need of a customer getting a cash back or free installments or some type of bonification. What we thought and what we wanted to generate is simplicity for our customers. The price that we're seeing should be the lowest price in the market and very easy to understand without having to wait for a bank or a promotion to be executed. So that's why you see Cashi with a difference in volume. Secondly, actually, this -- last week, we turned on open loop for a big part of our customers. The ramp-up will take several weeks, but there's already some part of our customers are getting access to require their new bank account and the debit cards. The debit cards are already physically at the stores. We are deploying those cards at the stores. So customers are already able to buy the card and connect back to the Cashi account. So we're very happy to cross that bridge.
Andrew R. Ruben: We look forward to seeing the progress next quarter.
Operator: Our next question is from Ms. Daniela Bretthauer from HSBC.
Daniela M. Bretthauer: And apologies if this question has already been asked, but I just wanted to drill further on the gross margin trend for the quarter and the rest of the year. It almost feels like the lack of gross margin expansion in Mexico reflects -- so I guess my question is, how much is that -- is like the fact that e-commerce had a bigger weight let's say, so sort of sales mix effect? Also, you mentioned durables doing well, and we know that the margin there is lower than most of your other categories. So is that what explains like the lack of gross margin expansion in Q2 as well? And maybe how should we think about for the rest of the year? Because I think in the webcast, you did mention that you intend to keep the price investment initiatives. So maybe, Paulo, just help us with that, how should we think of that for the rest of the year?
Paulo Garcia: Yes. Thanks for your question. And as Ignacio already said and I alluded also before, I think, and Daniela, every time that we see the opportunity to expand the price gap, help the customers on actually in these challenging times and accelerate share gains, we will do it. We are convinced that will set us much better for the future and it's in line for actually for us to continue to accelerate the growth of this business. This said, in terms of the margin and going directly some of the points that we've said. Before going, I want to reiterate something that I already said before. I think, Daniela, you can expect from us to see gross margin expansion in the year as we've given as a guidance, and we continue to reiterate that. And I want to reiterate that to all of you so that becomes clear. We always talked about the fact that we'll see variations quarter-on-quarter. You alluded 2 points, one on the gross merchandising the mix and the e-commerce. Actually, on gross -- general merchandise, sorry, general merchandise mix, actually, it's not too dissimilar from the other categories for us -- unlike our parent company, actually, our margins in the general merchandise are not too different from the other categories itself. So that is not a big burden, so to speak. It depends, of course, within each of the categories of general merchandise. But in general, it's not a big burden as well as e-commerce, that one is also not one that ultimately has a significant impact. Very much, we also accelerated a lot to grocery in this particular quarter. So grocery is something that, of course, have -- we enjoy very good margins. So that is not the one that actually impacts per se. As we alluded before in the webcast and in this call, it relates with the price investments that we decided to make to expand the price gap and help our customers. But we want to reassure you that we are reaffirming the guidance for the full year, and you'll see variations per quarter.
Operator: Our next question is from Mr. Bob Ford from Bank of America.
Robert Erick Ford Aguilar: I didn't press the question, but if we have an opportunity for a follow-up, I'd like to ask you a little bit about the remodels and what's changing and how you're thinking about maybe the same-store lift that you expect from the store remodel and the return that you're projecting from remodeling activity?
Ignacio Caride: Yes. Thank you, Bob. Thank you for the question. So we've done a little bit of a change on the remodels before we've done what we call the full remodel. And we will -- let me give you an example. If we would have changed the prototype and we have said now that fresh is now on the left, but the existing store had fresh on the right, what we would have done in the past is we would have moved fresh to the left on the existing store and heavily invested in the store. We're not going to do that anymore. So the customers are accustomed to shopping fresh on that side of the store. So what we are going to do is going to rechange the refrigeration and update the ability to have better investments into the store, and we're going to uplift the store. And that's going to change the scope, and that's going to allow us to advance more stores and touch more stores with the same capital investment. And that's going to allow us to further along our out-of-cycle commitments that we have towards our customers and towards our parent company. And then the second, from a lift perspective, because the disruption is less, we're going to have less disruption as we come out of the remodels, and we have a good plan to do that. Let me give you an example. Sam's Universidad, which is our #1 club in the country, we remodeled that store, and we saw a 0 impact in sales as we remodel the store.
Raúl Quintana: This is something very important that we're always saying in the group. We are focusing on how we can generate the remodels without generating impact in sales and actually keep on growing the stores while we do the remodel. So the change in scope is it's more on how we remodel the right way so we can -- we don't impact the customer rather than timings on real estate and the construction. And that has given us the confidence on accelerating remodels, do more things because we will generate less impact and accelerate and reduce the out of cycle. So we're very happy with yes.
Robert Erick Ford Aguilar: And Ignacio, just a follow-up and that is my understanding is you're also looking at optimizing some of your rental adjacencies. I don't know if I'm correct or incorrect. But I was just wondering if you were -- how you're thinking about optimizing kind of the traffic generating or the more complementary concepts around your stores?
Ignacio Caride: Yes. I would say that's business as usual, Bob. We've been more intent on deciding who needs to be close to our store that we'd actually add value to our customers and generate more traffic to our customers rather than just renting the space.
Operator: That was the last question. I will now hand over to Mr. Salvador Villasenor for final comments. Please go ahead.
Salvador Villasenor Barragan: Great. Thank you very much. So we want to thank you again once for joining and looking forward to see you all in our third quarter results.